Operator: Thank you for standing by and welcome to Comfort Systems USA's First Quarter 2025 Earnings Conference Call. At this time, all participants are in listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the call over to Julie Shaeff, Chief Accounting Officer. Please go ahead.
Julie Shaeff: Thanks, Latif. Good morning. Welcome to Comfort Systems USA's first quarter 2025 earnings call. Our comments today, as well as our press releases, contain forward-looking statements within the meaning of the applicable securities laws and regulations. What we will say today is based upon the current plans and expectations of Comfort Systems USA. Those plans and expectations include risks and uncertainties that might cause actual future activities and results of our operations to be materially different from those in these comments. You can read a detailed listing and commentary concerning our specific risk factors in our most recent Form 10-K and Form 10-Q as well as in our press release covering these earnings. A slide presentation is provided as a companion to our remarks and is posted on the Investor Relations section of the company's website found at comfortsystemsusa.com. Joining me on the call today are Brian Lane, President and Chief Executive Officer; Bill George, Chief Financial Officer; and Trent McKenna, Chief Operating Officer. Brian will open our remarks.
Brian Lane: Okay. Thanks, Julie. Good morning and thank you for joining our call today. We are reporting earnings per share that exceed every past quarter, a remarkable accomplishment given that the first quarter is historically our seasonally weakest period. These results reflect a promising start to 2025. Same-store revenue growth for the first quarter was 15% and our margins are strong. We earned $4.75 per share this quarter, up more than 75% from last year. Backlog at the end of the quarter grew to a new high of nearly $7 billion. We continue to experience broad based strength, including persistent strong demand from our tech customers. Thanks to strong first quarter bookings, we are going into the second quarter of 2025 with same-store growth in both sequential and year-over-year backlog. We continue to be disciplined with our capital allocation strategy. As previously announced, we added Century Contractors as our newest partner company in January of this year. Century is an excellent mechanical contractor based in Charlotte, North Carolina, and we expect they will earn about $90 million of revenue this year. We also announced another increase to our quarterly dividend by $0.05 to $0.45 per share, and we continue to purchase our shares. These actions reflect our commitment to reward our shareholders while maintaining a strong balance sheet. Against the backdrop of these strong results, we are of course deeply aware of what is happening with tariffs in our economy. And we are preparing for a wide range of possible conditions. If tariffs and other policy changes hurt the economy or make construction more expensive, that will impact our customers and that would in turn impact us. Most of these things we cannot control. So we are focused on project execution, recruiting and retaining the best labor force in the industry, and selecting the best projects for our valuable workforce. We feel fortunate to have the markets, focus, customers, and geographies that we are in. Although events are developing quickly, demand for large and complex projects is ongoing. With record broad based backlog, persistent demand in advanced technology, on shoring trends, and especially thanks to our amazing people, we expect continuing strong results in 2025 and we are optimistic for continuing success into 2026. Trent will discuss our business and outlook in a few minutes. But first, I will turn this call over to Bill to review our financial performance. Bill?
Bill George: Thanks, Brian. Good morning, everyone. This quarter was a really great start to 2025. So revenue for the first quarter was $1.8 billion, an increase of 19% compared to last year. Same-store revenue increased by 15% or $237 million with the remaining $57 million increase resulting from acquisitions. Our revenue increased in both segments with an increase of 22% in our Electrical segment, while our Mechanical segment revenue increased by 18%. Both segments benefited from strong demand, particularly in the technology sector. We face high comparables for the remainder of 2025, and our estimate is that same-store revenue will increase for full year 2025 by high-single-digit percentage growth. Gross profit was $403 million for the first quarter of 2025, a $106 million improvement compared to a year ago. Our gross profit percentage grew to 22% this quarter compared to 19.3% for the first quarter of 2024. The quarterly gross profit percentage in our Electrical segment improved to 23.0% this year compared to 22.6% last year. Margins in our Mechanical segment grew by over 3% to 21.7% compared to 18.4% in the first quarter of 2024. We currently expect that gross profit margins will continue in the strong ranges that we have achieved in the last several quarters. SG&A expense for the quarter was $195 million compared to $163 million in the same quarter of 2024. SG&A expense as a percentage of revenue was consistent at 10.6% for both periods. We continue to invest in training and technology to provide our workforce with the best tools to meet the demands of complex projects needed by our customers. Our operating income increased by 54% from last year from $135 million in the first quarter of 2024 to $209 million for the first quarter of 2025. With improved gross profit margins, our operating income percentage increased from 8.8% to 11.4%, a truly remarkable performance in the first quarter. Our quarter-to-date effective tax rate was 18.6% compared to 21.7% in 2024. Our effective tax rate this quarter was lower due to interest we received on a delayed refund by the IRS associated with our 2022 federal tax return. We received the $118 million refund in April 2025, including $11 million of interest. Excluding this item, our effective tax rate would have been approximately 23% in the current quarter, and we expect our tax rate for the last three quarters of 2025 to continue in the 23% range, with the full year effective rate a bit lower due to the discrete benefit recorded this quarter. After considering all these factors, net income for the first quarter of 2025 was $169 million or $4.75 per share and that compares to net income for the first quarter of 2024 of $96 million or $2.69 per share. Per share earnings include a benefit of $0.25 per share related to the interest on our tax refund, which was previously discussed. EBITDA increased by 43% to $243 million this quarter from $170 million in the first quarter of 2024, reflecting great execution by our teams and strong demand in our markets. And our EBITDA for the 12 months ending with the first quarter is $965 million. Our free cash flow was negative $109 million in the first quarter. Free cash flow has two large discrete impacts this quarter from a major turnaround of advanced customer payments and a catch up tax payment that we had deferred from last year. As Brian mentioned, this quarter we experienced much of the long awaited cash flow turnaround. As we have been discussing for several quarters, our operating cash flow has benefited from advanced payments from customers in our modular operations. Much of that effect abated this quarter. In addition to the turnaround of most of our advanced customer payments in the first quarter, we made a federal tax payment of approximately $80 million this quarter that would normally have been paid in the second half of last year. That was because we were able to defer that payment due to hurricane Beryl, which was a federally declared disaster in Houston during 2024. We also funded significant earn out payments for acquisitions, approximately $80 million in the first quarter of 2025, and $34 million of those payments were required to be reflected as a reduction to operating cash flow. Given the magnitude of these three reductions to cash flow, that is the turnaround for advance purchases, our hurricane deferred payments and earn out funding, the fact that our cash flow netted to only $109 million negative signifies remarkably strong underlying cash flow this quarter. We also purchased more shares than usual in the first quarter and although it did not affect our cash flow, share repurchases this quarter were also a notable use of cash as we returned $92 million to shareholders by buying over 264,000 shares. Finally, this quarter we funded the Century acquisition that Brian talked about. So with all of these uses of cash and other factors affecting our cash, we believe that ending the quarter with net cash of over $130 million together with our strong prospects for ongoing cash flow, places us in a remarkably strong position to continue to invest in our business to grow and to continue to reward our shareholders. And this quarter’s balance sheet performance strengthens our optimism about our ongoing prospects. That’s what I got. Trent?
Trent McKenna: Thanks, Bill. Brian has asked me to comment on our business operations and provide an assessment of our outlook. Backlog at the end of the first quarter was a record $6.9 billion, a same-store increase in both sequential and year-over-year backlog. Same-store sequential backlog was up $848 million or 14%, while same-store year-over-year backlog was up $930 million or 16%. First quarter bookings were especially strong in the technology sector. Our companies are collaborating more than ever before to deliver superior mechanical and electrical solutions for our customers. Our revenue mix continues to trend towards the industrial sector with this sector accounting for 62% of our volume in the first quarter. Industrial continues to be a major driver of pipeline and backlog. Technology, which we report in industrial and which includes data centers and chip fab was 37% of our total revenue, a substantial increase from 30% in the prior year. Advanced technology is currently the largest component of our overall revenue. Institutional markets including education, health care, and government are also strong and represent 24% of our revenue. The commercial sector now accounts for about 14% of revenue and most of our commercial sector revenue flows through our service activities. Construction accounted for 85% of our revenue with projects for new buildings representing 58% and existing building construction 27%. Overall modular revenue in the first quarter was 19% of our total revenue and we now have over 2.5 million square feet of production and storage space for our modular operations. We include modular in new building construction because we consider it off-site construction. Our modular projects average well over 20 million. Service revenue was up 10% this year on an absolute basis, but with faster growth in construction, service is now 15% of total revenue. Service profitability was strong this quarter and service continues to be a growing and reliable source of profit and cash flow. Before I turn the call over for questions, I want to join Brian and Bill in thanking our over 19,000 employees for their hard work and dedication. Comfort Systems' success is a direct result of the people that serve our customers every single day. We are now going to turn this call back to Latif for questions. Thank you.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Alex Dwyer of KeyBanc Capital Markets. Your question please, Alex.
Alex Dwyer: Hey, Brian, Bill, Trent and Julie, thanks for taking my questions here.
Brian Lane: Thank you.
Alex Dwyer: Yes. So I just wanted to start and ask about the intact revenue and margin guidance, especially in light of the stronger start to the year and the backlog growth kind of reaccelerated this quarter. The intact guidance implies a deceleration through the rest of the year. And I know you guys tend to be conservative with your guidance you did mention the additional macro uncertainty here. So I just wanted to learn a little bit more about the thought process and guidance, and if you can talk a little bit about that.
Bill George: If you don’t mind, I don’t think anything has changed from the point of view of our prospects, the way we are experiencing our prospects, the way that we are seeing demand develop in our markets. However, we had already mentioned that last year, we had an increasingly tough comparables as the year progressed, especially in the third and fourth quarters. So the reason that we stuck with the high-single-digit growth for revenue was just because we have some much higher comparables that we will be facing year-over-year later this year. As far as margins go, we've been at very high margins, and we really believe we will stay at those high margins. We just printed sort of all time high margins. We can’t say, oh, that’s the new minimum, but we are -- we feel very, very good about our ability to continue to perform and make good margins.
Brian Lane: Yes. So, Alex, we are getting good pricing, really superior execution in the field. So I think, Bill is right. We can keep those margins, I think we’ll sign up for them.
Alex Dwyer: Yes. Okay. Got it. Thank you. And I guess staying on the margins, can you just talk a little bit about how your contracts are structured in the event of potential cost inflation or supply chain challenges, how well protected you are and how quickly you can pass these on to customers? Because I think last time in COVID, there was some margin pressure in the business. And I'm just wondering what we should expect this time around, how manageable you think this could be and what lessons were learned last time?
Trent McKenna: Yes. So I’ll take that, Alex. So we are pricing and supply chain, it's a day to day kind of hand to hand combat thing for our teams. They are very good at it though. This is what they do. This is their experience and our project managers and teams are very, very good at extracting the most possible value out of what the supply chain gives it, right? Obviously with tariffs, we are in an uncertain time and our teams are having to manage to that. I like our chances. We are very good with regard to our contractual risk and getting proactively involved at the local level with our suppliers, with our customer, making sure that we are really distinguishing ourselves from our competition. Also, when you think about most of our competition, they don’t have the scale or heft that we have with regard to these issues. And they certainly don’t have the ability to collaborate across companies to provide information about supply chain changes. So all in, tariffs are uncertain, right? It’s a environment to predict. But I like the chances for our team be success, our teams to be successful in any environment.
Brian Lane: And, Alex, you mentioned, we’ve been through this before. We do have a lot of experiences that we went through COVID in particular. So we get paid to manage the challenges in the business and we’ll do that.
Alex Dwyer: Thank you, guys. I’ll turn it over here.
Operator: Thank you. Our next question comes from the line of Julio Romero of Sidoti and Company. Please go ahead, Julio.
Julio Romero: Thanks. Hey, good morning, everybody. Maybe just staying on the last question here and thinking about all the uncertainties. We have trade uncertainty, tariff uncertainty, but we also touched last quarter on the data center CapEx uncertainty. So maybe if you guys could maybe rank order the uncertainties out there for us in terms of order of magnitude and how you’re viewing them internally.
Brian Lane: All right. So as -- we will let Bill do that one.
Bill George: Yes.
Brian Lane: So as far as the cost pressure, that -- during COVID, we didn’t really experience any cost pressure. We had a quarter or two that was down. That was mostly down because things being shut down, like the city of Austin shut down. The state of Michigan shut everything down for a period of time. You couldn’t even go fix hospitals. But in general, our margins performed extraordinarily well. Service, if anything, had a little bit of margin compression in about the first 9 to 12 months after -- after COVID really hit, construction was killing it, and then the next year they were both killing it. So we really feel good about our history of facing what we think were tougher concerns at that point. And I don’t know if it’s going to get tougher, a lot tougher from here, but that was a much more dire situation. As far as tariff uncertainty and demand and demand for technology, I would say that we -- in the week before a call like this, we talked to the people who do the most work in our company with our customers who buy services in those areas. There is no sign of a let up in demand for electricians and pipe fitters and plumbers to help build data centers and frankly lots of other things. That doesn’t mean it’s not going to happen, and I know we’ll get asked about this over and over, but there is no sign of it. And if you ask the smartest people in our business about the demand for compute, for data, lakes and capacity, there was a level of demand that couldn’t possibly be met before the tariffs were announced, and we don’t really think that that’s changed. It might change, hasn’t changed.
Julio Romero: Okay, great. That is helpful. So it sounds like your experience during the COVID years helps you be more comfortable with inflationary impacts and then also you’re not seeing a level of demand destruction as of this moment. Maybe if you could speak to what you are hearing from your customers and your suppliers as to what their biggest uncertainties are and how that could affect Comfort Systems?
Bill George: I'll talk about our suppliers for a minute, and then maybe Trent or Brian can talk about our customers because I kind of just did. But from our suppliers, there are you’ll see like a 4% or 6% increase from this or that supplier. We have thousands, right? But we are -- we have hundreds that are very important. Some of them have done some price increases. The truth is they do 4% and 6% price increases all the time. So it’s hard to tease out what's tariff related. Certainly, in business today, tariff is a great excuse to raise your prices. I don’t think we are detecting a whole lot of change there. We are buying -- one of the things that happened coming out of COVID is our guys got way, way more aggressive about locking in stuff a year or two in advance, mostly because of availability, right? Not just price. I will say that there is a general feeling right now that we are going ahead and purchasing stuff that we're go we know we are going to need. Maybe not trying to negotiate for as long, but I don’t know that there’s anything happening now that would it -- is there going to be places where we pay a little more for something than we would have? Yes. Will that be detectable in our numbers? Not so far.
Brian Lane: Julio, one thing that we really have going for us at Comfort Systems is we are a large specialty contractor. Some of these are larger projects. The customers need someone with a strong balance sheet, a workforce that’s deep in which we have that. There’s only a few of us in the country that can handle these larger jobs. So we are really in good shape to satisfy our customers' requirements of some of this larger, more complex work as we said in the script. So, we are really good positioned. And if you look at this on sharing opportunity that might be coming forward, we are in a great geographic location to handle that. And we have the depth of the skill set to do it as well. So I really like our position right now. It’s worth the work that’s out there.
Julio Romero: Great. Just to sum it up, it sounds like your scale and your experience in prior periods are the key differentiators this time around. Is that fair?
Brian Lane: Absolutely. Yes, absolutely, Julio. Yes.
Julio Romero: Okay, great. Thanks for all the color, guys. I’ll pass it on.
Brian Lane: All right. Thanks.
Operator: Thank you. Our next question comes from the line of Josh Chan of UBS. Your line is open, Josh.
Josh Chan: Hi. Good morning, Brian, Bill, Trent, and Julie. Congrats on a good quarter.
Brian Lane: Hi. Thanks, Josh.
Josh Chan: Hi. I guess, could you talk about the project bidding pipeline, say that demand continues to be strong? Maybe talk about what helped add to your backlog this quarter? And then also, how have you been continuing to add to the backlog and orders since the tariff announcement? Thanks.
Trent McKenna: Yes, so Josh, what contributed to our backlog this quarter was just broad based bookings across the majority of our companies. So we had just strength across the entire business in bookings. And that was driven largely by what we talked about on the script, which was advanced tech industrial bookings. We -- in our pipeline, we continue to see really, really good visibility out into the field. A lot of these projects are large, the things that are in our pipeline are large projects being planned. They have long timelines. We find out about them well before the ground gets broken on the site. So a lot of that is in our pipeline right now. We can see it visibility wise. So we are comfortable in saying that we continue as Bill said earlier, we continue to see strength with our customers. They are continuing to move forward with their plans. So that’s what we’re seeing.
Brian Lane: Yes, I just want to add on one sector, manufacturing and the industrial gets a lot of attention, but health care has picked up. It’s now up to 10% of our business, but the actual dollars have increased. So I’m really optimistic, look at the aging population we have. I think health care is going to be a pretty consistently growing opportunity for us.
Josh Chan: Great. Thank you, Brian and Trent. I guess maybe a question on your backlog trajectory, just to kind of clarify the typical pattern here. So obviously you had a good sequential ramp in backlog in Q1. So how do you expect backlog to trend through the year, through the summer quarters?
Brian Lane: So if you were to go back and look at Comfort Systems over 10 or 20 years, you would see that we are more likely to build backlog in the fourth and first quarter, and more likely to net burn backlog in the second and third quarter. And there’s one reason for that is revenues. There’s more revenue, you’re burning more of the backlog in the second and third quarter. But also for whatever reason people tend to commit to bookings and just get the paperwork done over the winter in our industry historically. And that’s actually I would have expected that to be true in modular, at least for the last 3 or 4 years. It’s been more true in modular than in the other parts of the business. So we -- I don’t know whether our backlog will be up at the end of the second or third quarter. I know our pipeline is really strong and I don’t think it would change my view of comfort. Unless we are start to tell you something different than that, we got all the work we can do, and we expect to continue to have all the work we can possibly do. And I don’t -- they just don’t I said it earlier. We just don’t really see a lot of free time for electricians who want to work in the near-term.
Josh Chan: Yes. Yes. That makes a lot of sense. Maybe I can ask a quick follow-up. So I think, Bill, you mentioned that comps are tougher in the second half. But I think last year, Q2 was also a really strong quarter. So I guess, how are you thinking about the relative toughness of all the comps that you’re going to face the rest of the year? Thank you.
Bill George: We are comfortable with -- we are certainly comfortable with the margin comps. Revenue is pretty lumpy for us. Even at the scale, it’s gotten less lumpy over the years because we just have so many more projects. But revenue is a hard call. We feel much more careful, much more comfortable predicting that for the rest of the year than we do for any individual quarter. But I think that sort of high-single-digit is very achievable.
Brian Lane: I will say this, we are full. We have plenty of work to do and there’s no shortage of opportunities, so we will be busy.
Josh Chan: Great. Yes, thanks for the color guys and good luck in the rest of the year.
Brian Lane: Thank you.
Operator: Thank you. Our next question comes from the line of Brent Thielman of D. A. Davidson & Co. Please go ahead, Brent.
Brent Thielman: Hey, thanks. Good morning, guys.
Brian Lane: Good morning.
Brent Thielman: I guess, yes, just on the disaggregation of the different end markets, the manufacturing sector was down in the first quarter. Is that more a consequence of just focusing your resources to these other end markets or why would you see that just given the strength you’ve been seeing there?
Bill George: The reality is, and I don’t blame people. They think of these different markets as sort of these independent things, and we sell what's available. But realistically, our guys are picking the work that they choose to take, and they’re picking it based on what's going to be good for their people, where they have a history with customers that have treated them well over time and based on the gross margin, gross profit per hour, gross profit dollars that they can get per hour that they go dedicate to that work. So when you see movement between sectors, especially at a time like this, it’s almost always just our guys pick different where like, probably, they got lured more into the tech stuff because that's where they had the best opportunities. I don’t think there's any concern right now about demand in manufacturing.
Brian Lane: And, Brent, as you know, when you get these bigger jobs, they’re going to be lumpier. So you could win a manufacturing job tomorrow and it will be lumpy in the second quarter. Some of that’s that, but -- the bookings, especially the bookings actually going into the end of this year, the fourth quarter of last year we are in manufacturing.
Bill George: Yes, for sure.
Brian Lane: Pharma.
Bill George: Pharma, yes.
Trent McKenna: Some of it’s just timing.
Brian Lane: Yes.
Brent Thielman: Got it. So the manufacturing side is more likely to ramp up moving forward.
Bill George: Yes. Well, it’s going to on an absolute dollar basis, it -- it’s we have the opportunity to do more. Whether our guys will choose to do more [indiscernible] make sure to do something else. I do think the opportunity is there, and I also really think I really think I do really think we will actually. There -- it’s going to once some of the bookings we did in the fourth quarter of last year start to revenue for real later in this year, you’ll see a little more of that.
Brian Lane: Yes, we are not concerned about the manufacturing opportunities, Brent.
Brent Thielman: Yes, good. Yes, that’s what I was looking for. There’s been a lot, you’ve had some of the public OEMs on the HVAC side out recently. I guess I wanted to ask you guys on Mechanical. Have you seen any impact early this year just related to the whole HVAC refrigerant transition? Did it have any impact on your activity or bookings positive or negative? I know it’s temporary, but I’m just trying to understand how that implicates your business.
Brian Lane: Yes. Yes. No. We are not we haven’t impacted at all. Brent, I think you’re right. It’s mostly for the OEMs at this point. There’s not much of that equipment with that refrigerant in it that we'd be servicing. So it has impacted us, and I don’t think it’s going to.
Brent Thielman: Okay. Would it would it help you going forward, Brian?
Brian Lane: No. I don’t I think it’ll be neutral. I don’t think so.
Brent Thielman: Okay. Okay. And then just last one was just on the balance sheet. I mean, it sounds like you’re going to be building cash back up here pretty quickly in the coming quarters Bill. But when you think about just the scale of the backlog, the overall pipeline, it sounds pretty good. Is there a minimum level of cash you want to keep on the balance sheet as we go forward?
Bill George: If I had my choice, I would have no cash on the balance sheet. I would have no debt, and I would have no cash. If I’m just being honest, so there absolutely, there is no minimum. Having said that, we probably are going to build cash later as this year progresses. We have -- we’re certainly in conversations about acquisitions, but we’re I think we’ve mentioned this before. Kind of we’re kind of a broken record on this. We are in a mindset right now of only doing deals where we have a very high-level of conviction because we’ve done so much lately, so many big ones that we are really, it’s going great. But we never pass up. Really, these companies we buy, we buy them when they’re ready to sell. They’re people we know. They’re great companies. It’s hard to it’s hard to predict. But, yes, if you add -- you made me guess, I guess cash will build a little bit as we go through this year. I also you’ll have to tell me how our stock price trends. We just spent $92 million in the first quarter on shares because we thought we were able to buy our shares at 12x times trailing EBITDA. And we thought that is a fantastic use of our capital because we get more of our modular and we get more of our manufacture. Do you know what I mean? So a lot of that loss are we are very open minded to buying shares if people want to value Comfort at prices that we do acquisitions at. We love our own companies. Yes. For sure. We love our business. We think we have an amazing business.
Brent Thielman: Rightfully so. Thanks, guys. I’ll pass it on.
Brian Lane: Thanks, Brent.
Operator: Thank you. Our next question comes from the line of Brian Brophy of Stifel. Please go ahead, Brian.
Brian Brophy: Thanks. Good morning, everybody. Congrats on a very nice quarter.
Brian Lane: Thank you.
Brian Brophy: Yes, I wanted to ask on SG&A leverage. Historically, it’s been kind of a net source of margin expansion for you guys that slowed a little bit this quarter. Just curious how you’re thinking about SG&A leverage for this year.
Bill George: So I’m super happy about this because it was 10.6% last year, and it was 10.6% this year. So we were exactly right for once in what we told you guys. I think we are I think we -- I think SG&A leverage has run its course at least from this point of view. We were getting .3, .5 every couple quarters, really big SG&A leverage. It’s certainly possible we continue to get SG&A leverage, but it’s not going to be -- we are not going to be moving whole percentage points. Most likely I mean, I hope I’m wrong. But at the end of the day, I would not look to SG&A leverage as a big source of incremental sort of net income because we’ve gotten so much already, and the reality is there’s only [ph] we are investing in SG&A because we want this is a great business, and we want to grow, right? So I would say yes.
Brian Brophy: Understood. Yes. That’s helpful. And then just one more on the working capital unwind that you guys saw in the quarter with that large customer. Was that the full 300 million that you guys have talked about in the past that got unwound here? Or is there more to yes, point down the road? And I guess, are there any other large cash items we should be thinking about for the rest of the year?
Bill George: That’s a -- I’m glad you asked. So we had some mid 200 and something million that went to one customer, and that was two thirds, three quarters of the [indiscernible] balance we had with them. And is it going to go to zero? I don’t know this, so I think it will go to zero. So we think that that is substantially passed. If there’s more, and there probably is, we’ll probably there’s probably another hundred million more to go to that customer, maybe a little more, and one or two other customers, but it’s mainly one customer. However, we happen to get you may have noticed, we happen to get a $107 million tax payment during April. I mentioned it in my script, or maybe I didn’t, but it’s in the k q. I think I mentioned in the script. But at the end of the day, that is cash flow in the second quarter. We think that will just offset the additional payments we’ll make. So I don’t think you’ll see it in our numbers. You certainly won’t -- we’ve been publishing for over 2 years this slide we call advanced cash to make sure that people wouldn’t be surprised by this. That slide is done. You won’t see that slide anymore. We are pretty much especially given the puts and takes in the second quarter, it’s a thing of the past. So now we should go back to just cash flowing our net income.
Brian Brophy: Understood. Very helpful. I’ll pass it on. All right. Thanks, Brian.
Operator: Thank you. Our next question comes from the line of Adam Thalhimer of Thompson Davis. Please go ahead, Adam.
Adam Thalhimer: Good morning, guys. Hey, Adam. Hey, sorry if I missed this or you already said it, but when you think about the impact the tariffs have had in April, if any, I mean, can you help quantify the actual impact on the prices that you’re giving to customers?
Bill George: On the prices? Well, okay. So I would say that it’s not detectable in general, right? So people I’m not saying it won’t be, but I would say we basically price our work based on our labor. We figure out how much we are going to spend for the other elements of our costs. If we’re doing a subcontract, we make sure we make some money on that because we have to manage them, and we take a little risk. We fight, we figure out to the best of our knowledge what we’re going to have to pay for the equipment and materials that we put in. We go lock as much of that -- most of the big equipment we get, we have a quote for it before we quote it to somebody else because it’s highly specked, right? It’s highly configured. It’s not like it’s bought in a commodity basis. And typically on sort of commodities and materials, we buy it as soon as we have the job. We commit to it. We commit to some of it before we have jobs opportunistically. And on top of that, we have a history of our customers helping us, if something changes. And by the way, we have a history of giving it back to them when good things happen, get taking it into account and because these are long term relationships for us. So we don’t know what’s going to happen with tariffs. We don’t know what’s really going to happen with sort of the bigger picture of the economy. I would say if you want to think about that vis-à-vis Comfort Systems, we have customers. And if it affects our customers and however it affects our customers, it affects us. If people want to build buildings, we are here. We are the best people to build them. If they stop wanting to build buildings, we won’t build them without them. And, honestly, there is an awful lot of demand. And we do feel like Brian said, we do feel like we are in really good markets, really good verticals. Like, we just happen to be in the right place at the right time to feel better than we might given some of the trends that are out there.
Julie Shaeff: Got it. And that’s what I’m really trying to get at is to what extent customers are getting sticker shock, in April versus March, if that’s happening at all.
Brian Lane: Not yet. No. Too Yes. Too soon to tell, Adam, really. Question.
Trent McKenna: Yes. And then to what extent does your Q1 '25 backlog give you visibility into '26?
Bill George: I mean, if you look at, so we are strong this year. We obviously looking at opportunities going to 2026. I think we have more backlog for 2026 at this point in the year than we’ve ever had. So, that’s why we said in the script that we are very optimistic about 2026. Also looking at opportunities on some of the longer term stuff in '27 and '28, but I think we are feeling good about '26 knowing what we’ve already seen come our way.
Adam Thalhimer: Great. Thanks, guys.
Bill George: All right. Take care, Adam.
Operator: Thank you. I would now like to turn the conference back to Brian Lane for closing remarks. Sir?
A - Brian Lane: All right, thank you. I want to thank everyone for being on the call with us today. As we have mentioned, our first quarters have always been seasonally lower for us. However, as certain parts of our business such as modular have grown and within an increasing portion of our revenues in markets that do not get as cold such as Texas, Florida and the Carolinas, seasonality has become less pronounced over the last several years. Even with those trends, this was an especially strong quarter. And I am frankly in awe of what our amazing teams across the country continue to accomplish. I am grateful for their hard work and we will continue to work hard for our people, our customers and those who have chosen to invest with us. Thank you again. And we look forward to seeing many of you in the coming months. Have a great weekend. Thank you.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.